Operator: Hello and welcome to today's webcast. My name is Teresa and I will be your event specialist today. All lines have been placed on mute to prevent any background noise. And please note that today's webcast is being recorded. [Operator Instructions] It is now my pleasure to turn today’s program over to Jacqueline Beato, Senior Vice President of Finance. Jacqueline, the floor is yours.
Jacqueline Beato: Thank you. Good afternoon and welcome to the Caesars Entertainment third quarter 2015 results conference call. Joining me today from Caesars Entertainment Corporation are Mark Frissora, Chief Executive Officer; and Eric Hession, Chief Financial Officer. A copy of our press release, certain earnings presentation slides and a replay of this conference call are available in the Investor Relations Events and Presentation section on our website at caesars.com. The slides are available for download on the Events and Presentation section and will accompany Mark and Eric's prepared remarks for those of you on the phone they would like to follow along. Also, please note that, prior to this call, we furnished a copy of this afternoon’s press release to the SEC in a Form 8-K and will shortly filed almost recent Quarterly Report on Form 10-Q. Before we get on our way, I’d like to call your attention to the following information on Slide 1 through 4, which we incorporate by reference. The forward-looking statements Safe Harbor disclaimer in our press release and other public documents cover this call and simultaneous webcast at caesars.com. This call the webcast and its replay are the property of Caesars Entertainment Corporation It's not for rebroadcast or used by any other party without the prior written consistent of Caesars Entertainment Corporation. If you do not agree with these terms, please disconnect now. By remaining on the line, you agree to be bound by these terms. Today's call will include discussion of certain non-GAAP financial measures, including property EBITDA, adjusted EBITDA and certain supplemental financial information. Reconciliations of net income and loss to property EBITDA and net income and loss to adjusted EBITDA can be found in the tables of our press release. As a reminder, Caesars Entertainment Corporation is a holding company. Comprise mainly of the following consolidated entities, Caesars Entertainment Resort Properties and Caesars Growth Partners which includes two reporting segments, CGP Casinos and CIE. CEC also has a majority ownership of Caesars Entertainment Operating Company, but CEC’s financial results do not include the results of CEOC and its subsidiaries following its Chapter 11 filing on January 15th of this year. However in addition to review CEC’s reported financial information on this call, we will also discuss certain supplemental information regarding CEOC including certain remarks that include CEOC’s results with those of CEC. The supplemental financial information is non-GAAP and is presented of the benefit for user to understand year-over-year result in a comparable fashion. This information is not comparable to GAAP results provided elsewhere in our presentation. Additionally, the results are not indicative of future performance or the results that would reported should the Restructuring Support Agreement be successfully completed. As used during this call, the words company Caesars, Caesars Entertainment, we, our and us refer to Caesars Entertainment Corporation and its consolidated entities almost otherwise stated or the conducts requires otherwise. As seen on Slide 5, we’ll begin the call today with some high level remarks by Mark, whose commentary will generally relate to the entire Caesars system, including our deconsolidate subsidiary CEOC. Eric will then review our financial results before Mark wraps up with some concluding comments. We will then open up the call for your questions. Let me now turn the call over to Mark.
Mark Frissora: Thanks Jackie. The factors that drove the company's tremendous first-half performance persisted through the third quarter and I am pleased to report the Caesars delivered another strong quarter and three months ended September 30. Starting on Slide 6, net revenues for continuing CEC, which as reminder excludes CEOC, increased 12% to $1.1 billion. Adjusted EBITDA grew 51% to $317 million. Adding CEOC to CEC on a supplement basis net revenues across the enterprise increased 5% year-over-year to $2.3 billion. The exceptional business performance is driven by higher gaming and hotel revenues, excellent labor and marketing productivity improvements as well as continued strong performance in Caesars Interactive Entertainment social and mobile games franchise. Gaming revenue increases were driven by a full quarter of Horseshoe Baltimore results compared with a partial quarter last year and a favorable year-over-year hold. The renovation of a LINQ Hotel and Casino, the expansion of resort fees across all properties and improved pricing power at our Las Vegas hotels to better yield management led to a strong growth in the hotel category. These revenue drivers coupled with ongoing marketing and operational efficiencies and improved customer mix in hotel outlets led to a 43% year-over-year increase in adjusted EBITDA to $630 million. Adjusted EBITDA margins rose 710 basis points to 27% our highest quarterly EBITDA margin system wide since 2007. Through the first nine months of 2015 we have delivered on our stated objectives to produce strong EBITDA margins and our properties continue to produce the highest margins on the strip. We also increased our net revenue share on the strip. Outperforming our peers and outpacing market growth these results are a testament to our teams focus on an effective execution of our cost control efforts as well as the performance of our new assets. We plan to sustain these margins and continue to lead the Las Vegas Strip through a combination of top line growth initiatives and ongoing productivity efforts which should improve stakeholder of returns in the future. Moving on to Slide 7, as we have certainly shown over the past several quarters, we are intensely focused on ensuring at our expense bases appropriately sized for the enterprise. These efforts have allowed have allowed us to meaningfully enhance EBITDA margins over the course of this year, with the majority of the increase coming from significant improvements and marketing efficiency across the enterprise and have relentless approach to continuous improvement within our operations. The year-over-year savings and marketing spend are a result of several initiatives. First we have reduced spend relative to the elevated levels seen last year, as these expenditures were less affected than anticipated. Particularly our free slot play program. We’ve also moved a large number of our marketing programs from direct mail to e-mail and digital channels, which is now, have been cost effective but allows us to be more agile and personalize. Additionally, we have implemented a more targeted approach on offers resulting in enhanced customer profitability. Lastly we have augmented our data analytics operations to serve a performance management function to more closely monitor and track marketing efficiencies as well as productivity improvements in operations. We believe that these changes to our marketing approach are the right most and will be sustainable over the long-term. Importantly we have been able to make these cuts and have maintained market share on a year-to-date basis while keeping customer and employee satisfaction high. From an operations perspective we have realized substantially efficiency gains over the last nine months and we continue to see additional opportunities. We’re applying an improvement focused operating model to all areas in enterprise including revitalizing our lean efficiency program. The program is designed to create a sustainable platform and culture to continuously drive process improvement and efficiency gains as well as enhanced customer experience particularly at the property level. We have already identified some immediate areas of opportunities such as high transaction food and beverage outlets, laundry facilities and housekeeping. During the last few months, we have been able to lay the groundwork to get the program up and running, including creating cross-functional teams and establishing property site leader positions to manage the initiative. As part of this progress we are working with a vendor that will help provide oversight, and six Sigma Black belt training and certification to property site leaders. We'll begin rolling out the program formally at the end of this year and expect it to be fully implemented with site leaders at every one of our properties by the end of this first half of 2016. We expect this effort to yield meaningful efficiency gains over time. Turning to Slide 8, for our future success we reorganize the need to grow topline revenues across the system. As I stated on our prior call, hospitality will provide a significant source of upside for Caesars. Since the financial crisis, we have under invested in our room product relative to our competitors, so we believe upgrading our room product is a tremendous opportunity particularly in Las Vegas increased demand across the industry coupled with the hotel renovations we have completed over the last two years have given us greater pricing power in our hotel portfolio and we have seen in many years. Additionally, over this same period, we have made significant enhancement in our yield management platforms and capabilities. Yield management refers to our pricing, management and optimization of hotel inventory. These enhancements have driven material improvements in our customer evaluation, pricing, and inventory management. These factors have enabled us to drive substantial improvements in ADR and to outperform our competitors. In each of the last four quarters system wide cash ADRs increased double-digits year-over-year with strong growth in Las Vegas. With room upgrades delivering a high return on investing capital, we view these types of projects to be an attractive low risk user available cash and planned to make investment in our Las Vegas room product a top priority over the coming years. Turning to Slide 9, to that end we have recently removed from inventory the Roman Tower at Caesars Palace, and we've started extensive renovations. Given the investment at our flagship property over the last several years, we are very excited to bring the room product in that original tower in line with the rest of the building. The new rooms including high-end suites started growing on sale in late October with the first guest expected to stay in the new tower in January 2016. The tower will be rebranded as Julius Towers once it reopens next year. We believe the financial and application impact of this renovation will be substantial. In addition, we are renovating a significant percentage for suite product at Paris, to ensure that our high worth net gaining customers continue to receive a great room product experience. Starting in January, 148 rooms and suites will be upgraded. We expect this project to be completed in the second quarter of 2016. We are also making targeted investments at Planet Hollywood. Renovating 183 rooms including 15 suites in the fourth quarter of this year. We also plan to start a remodel at the Carnival Tower at Harrah's Las Vegas in December to modernize 672 rooms including 72 suites. Complementing our hotel investments as shown on Slide 10, we have made a priority over the years to offer our customers the best in entertainment and dining options at each of our properties. We recently announced a three-year extension of Britney Spears Piece of Me show at Planet Hollywood through December 2017. Since opening almost three years ago, the show has received rave reviews and is sold out on a regular basis. Britney’s continued residence will be shared now with Jennifer Lopez, bringing her All I Have show to the stage in January 2016. Additionally, Reba and Brooks & Dunn have extended their popular residency at the Colosseum at Caesars Palace into 2016, as have Donny and Marie at the Flamingo. As seen on Slide 11, we are also enhancing our food and beverage outlets with the highly anticipated opening of Mr. Chow's restaurant at Caesars Palace in Las Vegas set for December 2015. We are also making numerous investments outside of Las Vegas including new restaurants such as Smoke & Rye at Horseshoe Southern Indiana, Guy Fieri’s El Burro Borracho at Harrah’s Laughlin and Noodle Bar at Harrah’s North Kansas City to expand cuisine offerings. Moving to Slide 12, in September we celebrated the opening of the Waterfront Conference Center adjacent to Harrah’s Atlantic City. Customer reception to the facility has been very positive and our nationwide sales force has made great traction in building the new business pipeline and putting Atlantic City on the map as a destination for corporate and association meetings. We now have 160 events booked in the new space, and over 150, 000 room nights. 61% of total bookings over 90,000 room nights are scheduled in the first 12 months of operations compared to approximately only 11,000 at the same time last year. On Slide 13, you will see that we have opened Harrah’s Cherokee Valley River Casino & Hotel in North Carolina at the end of September with an overwhelming response from visitors to the property on opening day. This is the second property that Caesars manages for the Eastern band of Cherokee Indians. Adding to our solid stream of management fee income and reinforcing our strong relationship with the tribe. Turning to Slide 14, we are also focused on opportunities to accelerate revenue growth through the expansion of Millennial & Generation X Customer Base. These customers represent a very large and growing opportunity for the casino industry, both in Las Vegas and in regional markets. We believe that they are interested in gaming, but not in the same way as their parents or grandparents. They need new types of content more comfortable experiences and more social settings. We are actively testing a number of programs, products and experiences aimed at improving to our ability to attract, engage, and retain this important customer segment. Two examples of the new social environments we are creating for younger customers to enjoy and explore include O'Shea's at the LINQ, and our Tag lounges, which are large virtual gaming centers containing electronic tables that we have debuted and a number of our properties across the country. We are also making a consorted effort to expand and enhance our gaming product offerings as seen on Slide 15. Although we continue to believe that there is a general lack of innovation on the part of our primary slot providers, we were intrigued by some of the new products and are starting to see from a subset of these manufacturers including the early versions of skill-based games. We are eager to try these new gaming options to some of the millennial friendly environments we are developing and are already deploying a few things with skill-based components as part of our current offering. We believe that are stronger product offerings set in a strategically created modern and social environment will add excitement to Los Vegas and regional casinos. More to come but we believe this is will be a very core platform growth for us and the industry moving forward particularly in regional markets. Let me now turn the call over Eric for a more detailed review of this quarter’s results.
Eric Hession: Thank you, Mark. I’ll first start with continuing CEC’s consolidated results for the third quarter followed by a review of the company’s reportable segments and then discuss the supplemental information we have provided on our website which included CEOC’s third quarter performance as well as continuing CEC plus CEOC’s results. Slide 17 summarizes continuing CEC’s results which do not include our deconsolidated subsidiary CEOC. For the third quarter of 2015 continuing CEC net revenues increased 12% to $1.1 billion, adjusted EBITDA grew 51% to $317 million and margins improved 709 basis points. As Mark noted earlier revenue performance was driven by four quarter of Horseshoe Baltimore results, strength in hospitality offerings particularly in the hotel vertical. Mainly due to resort fees, driving higher cash ADR favorable year-over-year whole and continued organic growth in CIE’s social and mobile games business. The year-over-year improvement in EBITDA was primarily attributable the revenue increases, marketing and operational efficiency and improved hotel customer mix. As we mentioned in our press release Caesars Entertainment accrued $966 million of commitments related to the first lean RSAs. As you may recall we announced a few months ago the CEOC have secured the support of its largest and most senior creditor consistencies, representing holders of more than 80% of CEOC’s first lean bank debt and first lean notes. Slide 18, summaries the performance of Caesars Entertainment Resorts Properties. Third quarter net revenues grew 1% year-over-year to $542 million due to strong hotel performance driven by resort fees and improved hotel yielding, but was partially offset by a decline in entertainment revenues due to a lighter show calendar versus prior year. Adjusted EBITDA increased 28% year-on-year to $157 million, EBITDA margins expanded 602 basis points due to marketing and operational efficiencies improved hotel customer mix and favorable property taxes. There was minimal impact from hold in the quarter. Year-to-date the EBITDA impacts from favorable year-over-year hold is estimated to be between $17 million and $21 million. Moving on to Caesars Growth Partners on Slide 19. CGP experience another strong quarter with net revenues increasing 24% to $602 million an adjusted EBITDA growing 62% to $170 million. Margins expanded 663 basis points year-on-year. Revenue performance was driven by the opening of Horseshoe Baltimore strong growth in CIE’s social and mobile games business and higher hotel revenue resulting from the expansion of resort fees and continued year-over-year ADR improvement at the linked hotel due to the renovations that were completed earlier this year. Within the CGP business our first review the CGP Casino segment on Slide 20. Net revenues were $407 million in the third quarter up 26% year-on-year. Adjusted EBITDA rose 85% to $96 million and margins grew 754 basis points. The increase in revenue was primarily attributable to a full quarter of Horseshoe Baltimore results compared to one month last year. The completed renovations at The LINQ Hotel which experienced a 63% year-on-year increase in cash ADR during the quarter as well as higher food and beverage revenue. The expansion of resort fee and favorable year-over-year hold. Revenue growth along with marketing and operational efficiencies drove EBITDA performance in the quarter. The EBITDA contribution from favorable year-over-year hold in the quarter was approximately $9 million to $13 million and approximately $14 million to $18 year-to-date for the CGP Casino segment. Harrah’s New Orleans was a contributor to revenue and EBITDA growth in the quarter due to very favorable year-over-year hold and table games. That said from a core business perspective volumes at the properties continue to impacted by the smoking ban and were down approximately 15% in the quarter. We expect Harrah’s New Orleans to experience continued volatility month to month as it adjusts to the operational challenges from the smoking ban. We focused on mitigating the negative impact on our revenues by developing outdoor smoking courtyards that provide more convenient and safe alternatives for our smoking guests. We also plan to place limited slot machines in the courtyards pending approval. We hope that these actions along with other marketing efforts will help us offset the double-digit declines in gaming volumes since the smoking ban went into effect. Since we spoke last quarter trips and visitation to Horseshoe Baltimore are back to the levels seen before April's episode of civil unrest. The property has delivered improved performance on account of stronger gaming volumes as the market responds to its wide range of amenities and unique entertainment offerings. Baltimore delivered its best quarter since opening last August and has generated record revenues in EBITDA for the month of August. Topline growth however was impacted by unfavorable year-over-year hold in the month of September. Now let’s look at the Interactive Entertainment business on Slide 21, which continues to deliver exceptional results. Third quarter net revenues increased 20% to a $195 million and adjusted EBITDA rose 40% to $74 million. EBITDA margins expanded 523 basis points year-on-year to 37.9%. Performance was mainly driven by strong results in social and mobiles due to continue to monetization of the user base. Monthly unique paying users grew to 860,000 in the third quarter up from 595,000 last year. And average revenue per user per day increased to $0.33 up from $0.29 over the same period prior year. Slide 22 provides a snapshot of liquidity at quarter-end for the CEC consolidated entities. Slide 23, shows the supplemental information on CEOC’s third quarter performance. Net revenues declined 2% to $1.2 billion due to lower reimbursable expenses and lower gaming revenues. Excluding reimbursable expenses, revenue was relatively flat year-over-year driven by gaming revenues declined in CEOC’s regions partially driven by marketing program changes as well as reduced baccarat volume at Caesars Palace, which were offset by favorable year-over-year hold at Caesars Palace and higher room revenue due to the expansion of resort fees an increasing cash ADR. Adjusted EBITDA increased 35% to $313 million leading to a 709 basis point increase in margins primarily due to marketing and operational efficiencies. The EBITDA contribution from the favorable year-over-year hold in the quarter was approximately $20 million to $25 million and approximately $37 million to $41 million year-to-date. In Las Vegas hospitality amenities continue to perform extremely well at Caesars Palace. As Mark mentioned in his remarks, we are currently renovating enrollment tower, which has taken approximately 600 rooms offline at Caesars Palace. The renamed Julius Towers is expected to welcome its first guests at the beginning of the New Year. Conversely on the gaming front, we continued to see a challenging VVIP environment with substantial declines in baccarat volume in the quarter, however that’s consistent with the rest of the industry. We don’t expect this to mitigate for the reminder of the year and currently anticipate further declines in this segment of our business throughout 2016. As I mentioned a moment ago, CEOC’s regional markets experienced lower gaming revenue due to marketing program modifications that have been implemented over the last nine months, with retail guests visitation showing notable declines. While we have experienced slight declines in growth gaming revenues, market share year-over-year, Casino profitability and EBITDA have substantially improved and we believe that this is the right decision for our property. We continued to monitor the effect that marketing changes have on our performance and customer behavior to ensure that we are driving benefits and enhancing profitability. Beginning in mid-2016, certain of CEOC's subsidiaries will transition the management responsibility of Horseshoe Cleveland, Horseshoe Cincinnati and Thistledown in Racino over to Rock Gaming and its subsidiaries which currently owned three properties. We are working with Rock Gaming to ensure seamless transition and are taking appropriate steps to minimize any disruption to customers. Reward credits for total reward numbers will remain valid at all Caesars properties. Now, let’s take a look at additional supplemental information for the third quarter on Slide 24, which includes our deconsolidated subsidiary CEOC. Caesars system-wide net revenues rose 5% from the prior year to $2.3 billion mainly due to full quarter of Horseshoe Baltimore results favorable year-on-year hold, strong hotel revenue growth from resort fees and pricing strength and continued strong performance in the social games business at CIE. As Mark noted earlier, we have expanded resort fees to all of our hotels system-wide which is a key driver of the 13% increase in cash ADR we experienced during the quarter. Revenue growth coupled with ongoing expense reductions particularly around both marketing and labor efficiencies resulting in adjusted EBITDA increasing 43% year-over-year to $630 million with the corresponding margin increase of 710 basis points. During the quarter positive year-over-year hold contributed approximately $30 million to $35 million in EBITDA and brings the year-to-date impact from positive hold to between $70 million and $75 million. While our property is benefited from favorable hold so far this year, we expect this to normalize over time. Looking ahead we expect to face headwinds related to inflationary cost pressures including salary and benefits and we will be focused on offsetting these increases through the productivity efforts. Additionally, as we annualize the programs related to our marketing and operational efficiency effort, year-over-year comparisons will become more difficult. Our capital expenditure expectations for the full year 2015 remain unchanged from our prior updates with continuing CEOC expected to end the year in the range of $365 million to $480 million. CapEx spending is ramping up on several projects such as the Roman Tower renovation at Caesars Palace. CEOC is expected to close out 2015 with CapEx spend in the range of $200 million to $270 million. We are currently in the planning process to determine CapEx for 2016 and expect to share that with you on our next earnings call. The business is generating more cash than we originally anticipated over the last nine months due to our outstanding financial performance, which will enable reinvestment in these businesses. We continue to take a thoughtful approach on how we deploy our capital ensuring it’s invested in higher return projects. Let me turn it back over to Mark now for some closing comments.
Mark Frissora: Thank you, Eric. If everyone can please turn to Slide 26, we are very pleased with our third quarter results. Though gaming volumes, particularly at regional properties have been under pressure as result of marketing program changes, these adjustments have driven improvements in gaming win and overall profitability. The investments we have made in enhancing our hospitality assets are clearly paying off. With improved pricing power of our hotels and better customer mix in hotel and food and beverage outlets. We also continue to realize benefits from our cost saving initiatives. Selectively this resulted in strong year-over-year EBITDA margin performance for the third consecutive quarter. As we closed out 2015 I believe we are well positioned to sustain this momentum. We are on track to achieve or exceed our previously stated goal of generating an incremental $250 million to $300 million of EBITDA from cost savings and EBITDA enhancing initiatives inclusive of CEOC. Further, CEOC is on page to meet or exceed its published EBITDA target of $1.024 billion this year. As far October, results demonstrated another strong months of performance driven by hospitality revenues with Las Vegas hotel revenues up double-digits. Turning now to Slide 27, as we move forward we are focused on enhancing revenue and driving productivity gains to further improve margins and cash flow while maintaining high levels in employees and customer satisfaction. In the most recent quarter, we have seen an improvement in customer satisfaction a very important measurement for us. This is in part due to our incentive platform that ties employee compensation to the overall customer experience. While the senior management team and I are in process of finalizing with the development of our strategic architecture for the business. We have identified a few cornerstone initiatives that will play pivotal role in achieving these objectives some of which by touched on in my opening remarks. These include one reinvesting and high return projects such as room renovations, two developing innovative entertainment environments to attract and retain younger customers, three expanding the total rewards database particularly active members, four inspiring a sales culture at every level within the company and finally focusing on are continuous improvement culture. As I discussed last quarter, these initiatives range from those require and minimal capital investment to more intensive projects and we will only allocate capital projects and activities we believe will create significant value for our stakeholders. I look forward to outlining our growth strategy for the company on future calls. In summary, we are very focused on a balanced agenda of growth and efficiency initiatives, amid the background of CEOC’s restructuring process and look forward to completing our process is quickly as possible. We believe our marketing and productivity improvements are sustainable as evidence by our market share performance. Additionally, as we gain further tractions in our productivity initiatives we will concurrently invest to improve our Las Vegas hotel product to drive year-over-year games in ADR. With that, we will be happy to take your questions. At this time, we ask to keep your question focused on the performance of the business itself. Operator.
Operator: [Operator Instructions] Your first question comes from the line of David Farber. Your line is open.
David Farber: Hi, guys how are you.
Mark Frissora: Good.
David Farber: Very good, I have three questions. First on CERP, I just wanted to talk again about the margins they were up I don’t know some four or five season of basis points since 2013, 2014 obviously. Just curious what do you think the biggest contributors are to the margin improvement on the OpEx line? How do you see that going forward and then I had a couple of follow-ups? Thanks.
Mark Frissora: Again, we look at the combination of factors, but is kind of equally balance between the marketing spending efficiency that were getting coupled with the labor productivity at the property levels. So those two things kind of property represent 80% of that we also that some year-over-year improvements in margin due to some of the properties in CERP performing better because it had time to perform if you will. So that’s been an additional point. Eric anything to add to that.
Eric Hession: The only thing I’d add Mark is that David as you know those CERP properties are very large properties with substantial hotels generally speaking and benefited from the increase in ADR and the associated flow through. As you know with the demand particularly coming into Las Vegas for the FIT and Group segment that’s enabled properties of large hotels to be able to increase their ADRs and that’s have great flow through. And then to respond your second comment we absolutely believe these margins are sustainable going forward and we will be driving to grow that through the initiatives that Mark mentioned focusing on the continual improvement environment.
David Farber: Very good. You touched upon some of the targeted room product investments in Las Vegas and maybe just tacking on to what you just mentioned Eric, given some of your reason project that have been finished. Can you may be just walk us through how you are thinking about maybe return on investment or any expectations you have or just color around how some of the returns have been met with respect to link or any other properties you’ve done in the hotel side of Las Vegas and then I had just two more? Thanks.
Eric Hession: Sure, David. So we as you know during the recession we had pull back on our room renovation projects and then recently ramp those up in 2013 and into 2014, completing a few hotel towers particularly the valley south tower and most notably the link and its entirety and what we’re realizing is that the customers that are coming to Las Vegas are absolutely willing to spend additional dollars per hotel night just stay in a renovated room and they will pay an incremental amount that provides a very solid return to us. So without getting into return specific numbers you can understand from our perspective that incremental ADR per room night over a period of time since we sold the room nights running in the mid-90s of occupancy generate substantial return. And from a risk perspective renovating a hotel room given that we do them continuously as relatively low.
Mark Frissora: In fact, if I can just add that when we look at the last years of capital projects and to a detailed review which ones have had the highest returns for us and represent the low risk it is a renovation of our hotel room and Vegas its applicably high payout and we get ROI eyes of 35%, 40% on average which are very high returns as you might imagine and it’s because that in Vegas you can hold would say higher price typically and we can under index versus our competition for the last four, five years and we are still under index. If we look at our product you compare to theirs, our pricing isn’t where it needs to be, given that we actually have comparable facilities but the room products not quite up to snuff. So we think that’s big upside forces we move forward.
David Farber: That’s helpful. Just CEOC for a moment you briefly touched up you are phase or potentially exceeding what was budgeted I guess couple of quarters ago at this point. What’s driving our performance there is at the top line is at the cost side and then may be just very broadly talk about your expectations for those regional businesses in 2016. I know you don’t give guidance but just broad expectations and then I just had one big picture questions and that’s it. Thanks.
Mark Frissora: Yes, broadly speaking David I would say that it has been more focused on the cost side both balance between our marketing initiatives and our operational initiative. There have been upsides on the CEOC side in terms of the hotel performance in number of markets. But CEOC is also through its ownership of Caesars Palace have been impacted by the decline in the VVIP business. Going forward, we don’t provide guidance but as we are working our way through the planning process for next year. We are assuming relatively modest revenue growth and we are continuing to focus on the cost side to ensure that we are able to achieve our plans, if we are fortunate enough to have the economy in such a state that there is tailwind in excess of what we are planning for, then we will be able to really see exceptionally strong flow through because we will make sure that our cost structure, which is entirely controllable is very tight.
David Farber: Very good. Just real quick I mean since we spoke last obviously a competitor has announced a REIT and we have maybe another one with GLPI. I guess I am just curious big picture any thoughts around does the value creation change as there’s more REIT’s in the gaming land space at all any thoughts there? And then that’s it from me. Thanks.
Mark Frissora: Yes, unfortunately David, we are not in a position to comment on that due to the restructuring at this time?
David Farber: Okay, thanks.
Operator: And your next question comes from the line of Susan Berliner. Your line is open.
Susan Berliner: Good afternoon.
Mark Frissora: Hi, Susan.
Susan Berliner: I guess I wanted to start, I know you guys talked a lot about room renovations and I was trying to, I know you haven’t announced anything for next year. But I was trying to get an idea of what kind of renovations you are talking about, are you talking about just kind of soft cause and any sort of magnitude and I guess secondly, Eric I was wondering if you could go through the CapEx spend because even though CERP came in higher than we expected. I am looking for some cash flow, I was kind of wondering if CapEx that was higher than we had modeled?
Mark Frissora: We kind of announced if you look at some of those slides, what projects we be doing next year, specifically in Vegas, so there are quite a few projects, we mentioned that why should in the progress flow for next year. And I don’t know if Eric, if you want to mention any another but goes for kind of the bigger ones, bigger - any big increase at all in capital spending. There is no plan at all to change if you will the way we spend capital; we are focused on spending at the narratives that we think have the highest returns. Eric.
Eric Hession: Yes, I just say we have a couple of large projects rolling off. As you are aware the Atlantic City convention center and then the linked projects had considerable CapEx spend this year. As Mark mentioned, reallocating a fair portion of that to room rent innovation projects we believe is the next step forward. We mentioned some plans to renovate substantial room at Paris and Hollywood, the Harrah's Hotel Tower that will be starting later this year, but rolling into next year and then the Roman Tower here at Caesars will come fully online next year. From a CapEx standpoint for CERP we continue to project in that $130 million to $200 million range and that should be consistent with the prior guidance that we have provided.
Susan Berliner: Will be CapEx spend be in guess in the Qs after the quarter?
Eric Hession: Sorry I didn’t get. Can you repeat your question?
Susan Berliner: Sure, I guess I was just wondering if the CapEx spend per I guess entity will be in their respective Qs?
Eric Hession: Yes, it will be there.
Susan Berliner: Okay. And then just turning to I guess CES I know you guys had set it up last year around this time and I know there have been talk about you potentially looking to I didn’t know if it was kind of reset annually, if you can give us any update on how that’s going or fits in place already?
Eric Hession: Yes, for those not as familiar I think you are talking about the reset of the allocation percentages, is that correct.
Susan Berliner: Yes.
Eric Hession: Yes, we had discussions and we did reset the percentages earlier this year between the three subsidiaries.
Susan Berliner: And how would we know how they reset, is that going to be in the respective Qs?
Eric Hession: The CGP Q will have the CGPH percentage and then - so it will be there.
Susan Berliner: Okay, great. Thank you.
Mark Frissora: Sure.
Operator: And we have no further questions in queue at this time.
Jacqueline Beato: Great. Listen, thank you operator and thanks everyone for listening in on call. We look forward to updating you on our future plans and initiatives to deliver stakeholder value. Thanks again.
Operator: Thanks again for joining. This concludes our webcast and you may now disconnect. Have a great day.